Operator: Welcome to the Memorial Production Partners LP Fourth Quarter and Full Year 2015 Investor Conference Call. Memorial's operating and financial results were released earlier today and are available on Memorial's website at www.memorialpp.com.
 [Operator Instructions] Today's call is being recorded. A replay of the call will be accessible until Wednesday, March 2, by dialing (855) 859-2056 and entering the conference ID 22826941, or by visiting Memorial's website, www.memorialpp.com.
 I would now like to turn the conference over to Ronnetta Eaton, Manager of Investor Relations. 
Ronnetta Eaton: Thank you, Robin. Good morning, and welcome to the Memorial Production Partners LP conference call to discuss operating and financial results for the fourth quarter and full year 2015. We appreciate you joining us today. John Weinzierl, Memorial's Chairman and Chief Executive Officer, will lead the call; followed by Bill Scarff, our President; Chris Cooper, our Senior Vice President and Chief Operating Officer; and Bobby Stillwell, our Chief Financial Officer. Afterwards, securities analysts will be invited to participate in a question-and-answer session.
 Please note that some of the remarks and answers to questions by management may contain forward-looking statements and are based on certain assumptions and expectations of management. These remarks and answers reflect management's current views with regard to future events and are subject to various risks, uncertainties and assumptions. Although management believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to be correct, and undertakes no obligation and does not intend to update these forward-looking statements to reflect events or circumstances occurring after this earnings call.
 Forward-looking statements include, but are not limited to, our statements about and our discussion of our full year 2016 guidance. Please refer to our press release and our SEC filings for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call.
 In addition, the preliminary unaudited financial information that will be highlighted is derived from our internal financial books, records and reports. 
 For additional detailed disclosure, we encourage you to read our form 10-K. We expect to file our 2015 annual report on form 10-K this week and we anticipate MEMP's tax packages, including Schedule K-1s will be available online via MEMP's website by mid-March.
 Also, non-GAAP financial measures may be disclosed during this call. Reconciliations of those measures to comparable GAAP measures may be found in our press release or on our website at www.memorialpp.com.
 With this in mind, I will now turn the call over to John Weinzierl. John? 
John Weinzierl: Thanks, Ronnetta. Welcome, everyone, and thank you for joining us today to discuss our fourth quarter and full year 2015 results. Before we get into the results, I want to mention briefly the organizational change announced recently by Memorial Resource Development, which resulted in my 100% focus and dedication to being the CEO of MEMP, a position I've held since our inception in 2011.
 We have a great set of assets, an industry-leading hedge book and wonderful people. So I'm excited about leading the partnership as we make decisions that will set us up for success in this challenging environment.
 We had a strong fourth quarter, of which you will hear the team talk about shortly. I will start by talking about our recent distribution announcement and our guidance and capital plan for 2016. Due to continued low commodity prices, the Board of Directors of MEMP's general partner made the difficult but necessary decision to reduce MEMP's quarterly distribution from $0.30 to $0.10 per unit for the fourth quarter 2015. Protecting our balance sheet in this environment is critical and this revised lower distribution will bolster our liquidity by saving approximately $67 million of cash on an annual basis.
 We will continue to review our distribution on a quarterly basis, always keeping in mind our primary goal of providing value to MEMP's stakeholders over the long term.
 The fourth quarter 2015 distribution was paid on February 12 to unitholders of record on February 5. Our capital plan laid out for 2016 recognizes the current commodity price environment has been significantly reduced from 2015 levels. We're limiting our total CapEx and expect to spend about $70 million based on the midpoint of our 2016 guidance.
 This capital will be directed to the drilling and completion of 1 new well and the completion of 5 additional previously drilled wells, all in East Texas, and to capital workovers and facilities upgrades across MEMP's other operating areas.
 The lower level of capital spending anticipated in 2016, along with the distribution reduction will aid MEMP in a severely challenged market. We expect that these measures will enable us to generate positive free cash flow of approximately $70 million to $80 million for the year.
 I'm confident in the measures we've taken and believe we made the right decisions to position ourselves for what looks like another challenging year. We thank our employees for their continued commitment to excellence as we navigate through this environment. And we appreciate our stakeholders for their continued support.
 Now I will turn the call over to our President, Bill Scarff. 
William Scarff: Thank you, John. I want to reiterate our commitment to managing the partnership conservatively and taking the necessary steps that will strategically position MEMP to be successful in times like these. We had a solid fourth quarter and I'm happy to report that operating costs were down significantly compared to prior periods. Our results for the quarter are evidence of our team's ability to capture operational efficiencies and drive down cost. 
 Fourth quarter average daily production increased from the third quarter 2015, averaging 257 million cubic feet equivalent versus 254 million cubic feet equivalent. The increase was primarily attributable to volumes associated with the Beta acquisition. In addition, adjusted EBITDA increased 12% to $90 million for the fourth quarter compared to the third quarter amount of $81 million.
 This increase was due in large part to reduce costs, which were 19% lower than what was reported in the third quarter and well below our guidance expectations.
 LOE for the quarter averaged $1.58 per Mcfe and included one-time credits in our favor that are not all expected to be repeated in 2016. Chris will touch on this during his remarks.
 While we talked about this on our last quarter call, I want to mention again how pleased we are to have closed the Beta acquisition last November. We now have control of what we believe is a prolific reservoir, which we expect to produce for many years to come.
 We believe this asset has enormous potential and we expect to ramp up development in a more stable commodity price environment.
 Our plan this year is focused on generating positive free cash flow, managing our cost and enhancing liquidity in this challenging environment. A couple of tools we have to manage liquidity that we mentioned last quarter, but I think are important to reemphasize here, include divesting noncore properties across our asset base and the potential bond funding of our decommissioning obligation related to our Beta properties. Bond funding or decommissioning obligation in California is expected to provide up to an additional $60 million of liquidity to the partnership. There's a timing component to this as we have to work with the federal government to complete this process. So we're not planning on this occurring before the third quarter this year.
 We entered 2016 with sufficient liquidity, which is further protected by our best-in-class hedge book. Our hedges are of significant importance to the partnership as they help provide stability to our cash flows and support us as we work through this difficult commodity environment. We have approximately 93% of our current expected production hedged across all commodities in 2016, and approximately 76% hedged in 2017. 
 And our hedge position extends through 2019. This is a distinguishing benefit when you put this in perspective, considering that E&P industry average of expected production hedged is approximately 15% in 2016 and 4% in 2017.
 As disclosed in today's press release, the mark to market value of our hedge book was approximately $805 million on February 15.
 Despite the commodity price environment, we look forward to continuing to deliver strong results. We will focus on enhancing our liquidity, improving our margins, reducing our debt and generating positive free cash flow. We are confident in the plans we've laid out and we believe we are well positioned to navigate successfully through this downturn.
 Now Chris Cooper will walk you through our operating performance in greater detail. Chris? 
Christopher Cooper: Thank you, Bill. I'd like to start by reviewing our fourth quarter operating results. Operationally, we had a strong quarter, exceeding expectations for all key metrics, including production, operating cost and capital expenditures. Production for the quarter averaged approximately 257 million cubic feet equivalent per day, an increase of 2% from the previous quarter and 13% higher than the fourth quarter of 2014. 
 The quarter-over-quarter increase was driven primarily by the acquisition of the remaining interest in the Beta asset that was effective in November 2015. We remain excited about having completed this addition to our portfolio due to the tremendous upside that exists with just a modest oil price recovery.
 Lease operating expenses in the fourth quarter were $1.58 per Mcfe, a reduction of 19% from the previous quarter and 20% lower than the fourth quarter of 2014. Included in fourth quarter 2015 LOE was a one-time insurance receivable associated with our Permian assets. We are very pleased to have resolved the issues that impacted our second and third quarter operating costs and are able to demonstrate the substantial progress our operating teams have made in reducing costs.
 Drilling activity in the fourth quarter was limited to East Texas, where we achieved first production from 2 cross, 1.5 net new wells that exceeded expectations. On average, we have 1.5 rigs active in East Texas for the quarter and ended the year with 1 active rig.
 Capital spending for the quarter was approximately $24 million, a reduction of 60% from the previous quarter, which is a reflection of our conservative capital investment program going forward.
 Approximately 83% of our capital spend was in East Texas, where we continue to make significant progress improving capital efficiency. Using cost per completed lateral length as a basis of comparison, the average cost of wells brought online in the fourth quarter was 37% lower than the wells completed in the same quarter of 2014.
 Moving to full year operating highlights. Year-end proved reserves were 1.27 trillion cubic feet equivalent, a decrease of 24% from 2014 year end proved reserves. The bulk of the reduction was associated with the impact of low commodity prices on the number of economic PUDs, along with some PDP wells reaching the economic limit earlier. All uneconomic PUDs remain within our portfolio of future drilling opportunities, although outside of the proved reserve category.
 Approximately 63% of our proved reserves are classified as developed with a reserve life of approximately 14 years. Average production for the year grew 12% from the previous year to 253 million cubic feet equivalent per day. This growth was the result of our successful development program, primarily in East Texas together with full year impact of production at Bairoil and the acquisition of Beta. Our long-term portfolio decline rates stands at 10% and remains very competitive for an MLP. Approximately 61% of our production during the year came from our East Texas asset, 17% from the Rockies, 8% from South Texas and the remainder from our oil weighted properties in the Permian and California.
 Lease operating expenses for the year averaged $1.82 per Mcfe compared to $1.74 per Mcfe in 2014. While we made tremendous progress improving our cost structure during 2015, a number of factors led to the results being relatively flat year-over-year, including the fact that 2015 contained a full year of higher lifting costs from our oil weighted Bairoil asset that was acquired in July 2014 and similarly, the additional interest in the Beta asset acquired in the fourth quarter of 2015.
 During the year, our development program included 15 completed net new wells and 5 drilled uncompleted wells in East Texas, 1.5 net new wells at Beta and 1.5 net new wells on our nonoperated properties in the Eagle Ford.
 Total capital investment for 2015 was approximately $214 million, a reduction of 24% from 2014. 74% of this investment was in East Texas, 9% in the Rockies, 8% in the Permian and the remainder in South Texas and California.
 Moving to our operating plans for 2016. As John mentioned in his remarks, capital investment for 2016 will be between $65 million and $75 million, a reduction of 67% from 2015. We plan to complete 6 new wells in East Texas, 5 of which were drilled in 2015.
 On a 2016 spend basis only, these program of wells has an aggregate rate of return in excess of 50% at current strip prices. By the end of February, we will have no active drilling rigs in our portfolio.
 Aside from the investment in the new wells in East Texas, the remainder of our capital spend will predominantly be on nondiscretionary, regulatory or maintenance work across our asset base.
 2016 production is forecast to be in the range of 228 million to 243 million cubic feet equivalent per day, the midpoint of which represents a reduction of 7% from 2015 and reflects the low decline rate characteristics of our asset base.
 2016 operating costs are expected to be between $1.85 to $2 per Mcfe. While this guidance is notably higher than our fourth quarter 2015 costs, it excludes the effects of one-off credits, incorporates the incremental costs associated with the acquisition of the remaining interest in the Beta asset and also includes the effects of the aforementioned production decline, which will impact our metrics on a per Mcfe basis. We remain resolutely focused on realizing further cost reductions and are confident we will be able to build on the excellent progress demonstrated in the fourth quarter.
 With that, I will now hand off to Bobby Stillwell to walk you through our financials. Bobby? 
Robert Stillwell: Thank you, Chris. I will start by summarizing our financial results and then covering our liquidity and hedge positions and our 2016 guidance, which we issued a few weeks ago. Adjusted EBITDA was up 12% for the fourth quarter at $90 million compared to the third quarter of 2015 and significantly exceeded our internal targets.
 The increase was largely due to the portfolio-wide cost reduction efforts we've detailed on this call and in the press release. G&A remained flat for both the fourth quarter of 2015 and the third quarter at $13.9 million. Included in our fourth quarter G&A was a noncash charge of $2.9 million for unit-based compensation expenses.
 On a per unit basis, our fourth quarter cash G&A was approximately $0.46 per Mcfe, consistent with our expectations for 2016. Now moving on to a discussion of debt and liquidity. As of February 15, we had total debt outstanding of $2 billion. This includes $1.2 billion of senior notes and $827 million of revolver debt, leaving revolver availability of $346 million, including the impact of $2 million in letters of credit.
 Our regularly scheduled bank group meeting will take place later this spring, and we'll be working closely with our lenders in their semiannual borrowing base redetermination. Given the sustained decline in commodity prices since the fall redetermination period, the reality is that our bargain base will be coming down. We expect that this will probably be the case across the E&P sector. 
 However, given the liquidity enhancing measures we are forecasting this year, $70 million to $80 million of positive free cash flow generation, the potential release of $60 million related to Beta decommissioning obligations and rationalization of noncore assets, we do not expect the borrowing base decrease to change our strategy going forward.
 I'd also like to point out that we are in compliance with the financial covenants under our revolving credit facility, which include an interest coverage test of over 2.5x and a current ratio test of 1x.
 Importantly, our 2 tranches of senior notes do not mature until 2021 and 2022. Next, I would like to talk about our hedging strategy and execution. We have a tremendous asset in our hedge portfolio which had a recent mark-to-market value of approximately $805 million and continues to play an integral role in MEMP's cash flow certainty in this environment. On a percent of total production hedged basis, we're approximately 70% to 90% hedged through 2018 and 53% hedged in 2019.
 For those same time periods, we're hedged on crude oil at prices of approximately $85 per barrel and natural gas prices above $4. As Bill pointed out, our hedges uniquely position us in this downturn and help provide price stability for years to come.
 Additional detail related to our hedge program is posted on our website under the Investor Relations section.
 We issued our full year 2016 guidance and capital plan a few weeks ago, and believe these estimates are very achievable given current market conditions. Our guidance assumes strip pricing as of January 22, which was $36.50 for oil and $2.37 for natural gas. Note that our production is 93% hedged for the year at that same $85 crude and $4 natural gas level I just mentioned.
 Also, as previously stated, we're scaling back significantly on CapEx and plan to spend $65 million to $75 million this year compared to about $214 million last year. As for operating costs, we have forecasted a range of $1.85 to $2 per Mcfe, which equates to a run rate of $42 million per quarter on average.
 G&A per Mcfe will average between $0.45 and $0.50 NM or about $2.5 million per quarter. All in, we expect this plan will generate significant positive free cash flow for the year. On production, given the scaled-back drilling program, we anticipate seeing some decline throughout the year and have given a range of 228 million to 243 million cubic feet equivalent per day. Production will likely exit around the lower end of that range. Our estimated CapEx of $70 million is expected to keep the 2016 exit rate flat for over 5 years.
 Wrapping up, with strong asset base, a best-in-class hedge portfolio, our continued focus on operational efficiencies and the other liquidity enhancing measures we have laid out today, we are optimistic that we are positioning ourselves for success in this downturn.
 This concludes our formal remarks regarding MEMP's fourth quarter and full year 2015 earnings call. Thank you for your time. And operator, we'd now like to open up the line for any questions. 
Operator: [Operator Instructions] Your first question comes from the line of Brian Brungardt with Stifel. 
Brian Brungardt: I guess to start off here, the 2016 guidance provided in January, looks like about a 7% decline on average production from the fourth quarter. I guess at what commodity price would you envision ramping up that CapEx? And what do you anticipate the appropriate spending would be to maintain that fourth quarter run rate? 
Robert Stillwell: Interesting question, Brian. In this commodity price environment, it's been a little challenging for us to model an upside case like that. The focus for this year is generating positive free cash flow given -- just given the overall environment ranging from commodity prices to the banking sector. So I'm not sure we have a specific price that we're targeting where we'd ramp up but we have some inventory in our portfolio particularly in California that still works at these prices. But we're delaying drilling of that inventory just in the whole scaled-back effort and generating positive free cash flow as much as we can this year. At the higher prices, we'll look to get more active but don't have a specific price. 
Brian Brungardt: Got you. And then switching to the upcoming spring redetermination process, and I anticipate there's limited color there. But any indication where you see this facility being reduced to? 
John Weinzierl: Yes, this is John. It's obviously very topical these days. It's going to be a tough borrowing base season for the entire industry. We fully expect our borrowing base is going to go down. We don't -- as you said, there's nothing to report at this point. But we put in place and we're proactive on all fronts to make sure that we preserve liquidity. So we lowered CapEx, we've lowered costs. We have a guidance that we're free cash flow positive, all being ahead of the game of anticipation of the borrowing base reduction. We don't have a number. We don't have anything to report on, an amendment process or anything of that nature. But we certainly are kind of ahead of the game. 
Brian Brungardt: So then would it be safe to assume then that you anticipate having sufficient availability to make up any reduction? 
John Weinzierl: Well, as I mentioned, as of note, we definitely are in compliance at this point and anticipate to be fully compliant. Being free cash flow positive is going to make -- is going to put us in good stead. We don't anticipate anything to the contrary, and we'll have more to report very soon. 
Robert Stillwell: Yes, coming out of the spring, we expect to have liquidity on the revolver. 
Operator: Your next question comes from the line of Kevin Smith with Raymond James. 
Kevin Smith: Also, I'd like to congratulate you on getting control of lease operating expenses. If you don't mind, I'd like to dig down into that, though. Maybe can you talk to us about how much of that this quarter was insurance reimbursement or lower completion activity? What I'm trying to get to is figuring out why LOE is stepping back up in 2016. 
Christopher Cooper: Okay, Kevin. First of all, we're pleased to get there. It's taken a lot of hard work by our operating teams to finally demonstrate the progress. So it's good to get to this point. Looking at our quarterly LOE cost that were just over $37 million, the credits that we talked about in the release were just over $1 million. Then we had also a full quarter effect of Beta that's close to $2 million. And then going forward, we need to increase our assumptions around workovers, probably going to add another $1 million per quarter. When you add in those effects to the Q4 rate of $37 million, it gets you to just over $41 million. And our guidance has in the range of $41 million to $42 million. So that's kind of the bridge between where we were in Q4, and where we expect to get to in Q1 going forward. So does that answer that question? 
Kevin Smith: Yes, that's very helpful. Absolutely. And then my next question, as far as building liquidity, any updates on timing or even a potential size of noncore divestitures? 
William Scarff: Yes, Kevin. This is Bill. Of course, we've talked about this in the past. This is just a continuation of our normal asset rationalization strategy. We look at all of our assets. We look for noncore assets, and basically those would be assets that are geographically isolated or not really an investment priority at this point in time. We got 2 packages on the horizon. One would -- they're both small, they're both nonmaterial in their impact on reserves or cash flow or production, but one is in the Permian and one is in the Rockies. We expect to kickoff of those -- each process here in the next month or so, and would likely have some type of transaction closing probably in the second quarter. 
Kevin Smith: Do you expect to have that done before the spring borrowing base redetermination or is that too tight? 
William Scarff: That's going to be a little tight. We're going to kick off the process very soon. But I would say on that, that both of these transactions would be liquidity enhancing. 
Kevin Smith: Got you. And then lastly for me, and I appreciate that you can't probably fully answer this but any color you can provide, I appreciate it, but obviously spring borrowing base redetermination coming up. Any thought that because you -- the expectation that your utilization level will go up that the commercial banks will restrict your ability to pay a distribution? Or has there been any talk around a cutoff once you get up to 90% drawn or some discussion to that degree? 
John Weinzierl: This is John, Kevin. And as you led in, you can appreciate that we're going to say we have nothing to report at this time. I will say on the distributions, our job and our company, we're an MLP. Our goal is to pay distributions. And when we dropped it, the board dropped it from $0.30 to $0.10 a quarter, it was in mind of having something that we can sustain even in the current environment. The banks are -- have pressure that everyone knows about from the OCC and everything else. Everyone knows that they're looking at all the debt in the balance sheet stack. And so yes, there's going to be pressure. We feel that we're in good stead on our distribution. But also, it's a quarterly distribution, and we look at it each quarter. So that's all I can say. There's nothing to report on the borrowing base and any other amendments. Again, I reiterate that we're in compliance and we anticipate to be that way. And Bobby, do you have anything to add to that? 
Robert Stillwell: No, that's it. It's our goal to continue paying the distribution. And like John said, we set up the $0.10 a quarter believing that's a long-term, sustainable figure for the partnership at current commodity prices and it supports significant coverage for the next several years and generates positive free cash flow. 
Operator: Your next question comes from the line of Chad Mabry with FBR. 
Chad Mabry: Just a follow-up to the previous line of questioning. I was wondering if you could provide any guidance on deleveraging initiatives given your outlook for free cash flow generation this year and from other liquidity levers that you have, and specifically, where your bonds are trading. 
John Weinzierl: Sure. It's, again, another very topical question for the industry. We are, of course, a reserve -- reviewing all the alternatives put in front of us, and we followed what other companies have done or tried to do. We are compliant, as I said, with our bank facility but we're cognizant of our leverage. And so we are looking at various different alternatives. We have nothing to report at this time. We'll certainly and obviously advise if there's something to report. But at this time, there is nothing. 
Robert Stillwell: In terms of liquidity enhancers just on the base plan, we outlined this in our guidance presentation a few weeks ago. But it starts with base assets and positive free cash flow generation. We guided to $70 million, $80 million of positive free cash flow for the year. We've got $60 million sitting in a trust account related to our Beta plugging and abandonment obligations. We're working with the government and surety providers to get that cash released and bond fund that obligation going forward. We've received positive feedback from those agencies on that release thus far. But it's working with the government. It takes a little bit of time. And we're very focused on getting that cash released and see that as a very realistic transaction by the middle of this year. And then we're also looking at noncore asset sales that Bill talked on. Those are going to be singles and doubles in terms of liquidity, but meaningful overall and every dollar matters right now. And there's other options like selling hedges that we've talked about in the past and we're evaluating and studying that with the banks. How -- is it liquidity enhancing? Is the punchline there? It just depends on the value the hedges have relative to the total size of the borrowing base. So that's something we're continuing to evaluate as well. 
Chad Mabry: Okay. Just one follow-up, if I could, I guess, on the 2016 CapEx budget. Sounds like that's kind of front-end loaded with East Texas completions. Just curious what your quarterly CapEx run rate looks like in the second half of 2016 and into 2017 to sort of correspond with some of the guidance that you talked about at the end of your prepared remarks. 
Christopher Cooper: Yes. It's relatively flat over the year. As John and both myself talked about, we plan to bring on 6 new wells online in East Texas. We're actually spreading those out over the first 3 quarters. And so the bulk of that capital will obviously be spent during those quarters and then the rest of our capital is really spread across all the other assets in a fairly even manner. So for the year, it's going to be relatively flat. 
Operator: [Operator Instructions] Your next question comes from the line of John Abbott with Bank of America Merrill Lynch. 
John Abbott: Just had several questions. First, would it be possible to share a PV 10 value you have before your reserves, or do we have to wait for the 10-K? And if you have a PV 10 value, could you say what the value is with or without hedging? 
Christopher Cooper: The -- in terms of the year end reserves, the PV 10 that goes with that is just short. 
Robert Stillwell: John, the K will be coming out no later than tomorrow and we'll have that disclosure there. 
John Abbott: All right. Then I gather you can't provide any color yet in terms of how the PUDs were booked? 
Robert Stillwell: What do you mean exactly? 
John Abbott: So you were 83% proved reserves. How are you booking your PUDs for your proved reserves? What sort of assumptions are you assuming for there? 
Christopher Cooper: Just 63% of our reserves were deemed to be developed. So obviously the remainder being undeveloped. 
Robert Stillwell: Consistent with where we've been historically. 
Christopher Cooper: Yes. Not still quite sure I understand the question here. 
John Abbott: What sort of commodity prices are you assuming due to booking those PUDs? 
Robert Stillwell: It's SEC pricing, which is roughly $48 oil and $2.40 gas. 
Christopher Cooper: Yes, $2.59 on the gas side and just below $47 on the oil side was the SEC price tag. 
John Abbott: All right. And then finally, with regards to noncore potential divestitures, I mean it looks like you have a couple of small packages coming up here. But when you think of your noncore assets, what sort of range of production are we talking about? 
William Scarff: Well, these processes are going to be kicked off pretty soon. But they're very minimal. They're not impactful at all in terms of production. I would call them nonmaterial. So very small. 
Operator: There are no further questions at this time. I will turn the call back over to John Weinzierl for closing remarks. 
John Weinzierl: Well, thank you, everybody, for joining us on the call today. As always, don't hesitate to reach out to us if you have any follow-up questions. Again, thank you for joining us. 
Operator: This concludes today's conference call. You may now disconnect.